Stefanie Zimmermann: Hello, everyone, and a warm welcome. Thanks for joining our earnings call today to discuss the results for the third quarter and the first nine months 2025 with us. With me today are our CEO, Yves Padrines; and our CFO, Louise Ofverstrom. Today's conference call is being recorded. A replay of the call will be available at our website after the call. Additionally, you will find the quarterly report, the presentation and the press release on our Investor Relations website as well. But now let's get started. So I would like to turn over to our CEO, Yves. So go ahead.
Yves Padrines: Thank you, Stefanie. Good afternoon, everyone, and welcome to our Q3 and nine months 2025 earnings call. As usual, we have prepared a short slide deck that our Chief Financial Officer, Louise Ofverstrom and I will briefly walk you through so that we have sufficient time for your questions afterwards. As usual, I would like to begin the presentation with our key messages on Page #3. Q3 2025 was another very successful quarter for our company. This success once again highlights the resilience and strength of our business model and strategy. Growth remained very strong, mainly driven by our two largest segments, Design and Build. The Build segment continued with its extremely strong development in the third quarter, even despite the expected moderation of growth due to the fading temporary transition effect of the subscription transition of Bluebeam and the higher associated comparison base. The Design segment also delivered another very good quarter. In addition to a healthy underlying demand, the segment continued to benefit from very strong momentum in its subscription transition, including an additional tailwind from multiyear contracts. As we communicated previously, these contracts are used strategically and only temporary to accelerate the transition of existing maintenance customers to a subscription-based model, mainly at our Graphisoft brand. Reflecting our performance over the first nine months of the year, we are proud of what we have achieved. Main growth driver was once again the recurring portion of our business, in particular, the very strong increase in subscription and SaaS revenues, which is clearly reflected across all our key performance indicators. When looking at the development of our EBITDA margin, it's important to keep in mind that the profitability in the first half of the year was impacted by an extraordinary nonoperating effect in the low teens million euro range, resulting from the unexpected insolvency of a service and payment provider. The foundation for this strong operational performance is the continued progress we have made across our key strategic focus areas, whether that is in agentic AI, the successful transition to subscription and SaaS or the ongoing internationalization of our business. These investments are not only paying off already today, they are also making sure the Nemetschek Group is able to show a high and profitable growth in the future. Lastly, as a result of the very strong development in the first 9 months, we fully confirm our already increased guidance and outlook for the financial year 2025. On Page #4, you see how this key message translates into the developments of our most important key financial indicators. In a nutshell, we continued the great momentum from the first half of the year also into the third quarter. The result and in line with our key strategic priority, the transition to a subscription and SaaS-centric business model, our reported annual recurring revenue recorded an increase of plus 22%. If we adjust for the strong FX headwind we had in the third quarter, mainly steamed from the weaker U.S. dollar, our ARR even increased by plus 26.4%. Thanks to this substantial growth in our recurring revenue base, we were able to strongly increase our revenue in Q3 by plus 15.8% on a reported basis and even by plus 20% on an FX-adjusted basis. We also delivered no promise increase in profitability, plus 25% on a reported at plus 34% on an FX-adjusted basis. The EBITDA growth clearly outpaced our revenue growth in the third quarter. The corresponding EBITDA margin reached a high 32.5% despite the ongoing transition to subscription and SaaS model in the Design segment. Last but not least, our earnings per share for the quarter increased by a very strong plus 40.7% despite the acquisition-related effects, GoCanvas. Coming to Page #5. Before I hand over to Louise, who will provide a deeper dive into our financial results, I would like to take a moment to address what is currently one of, if not the most important topic for us. I'm, of course, talking about the rapid evolution of artificial intelligence. Let me state is very clearly upfront. At the Nemetschek Group, we are deeply convinced that AI represents a tremendous opportunity for us as a vertical software company that is deeply embedded in the processes and workflows of our customers. And we have, as you know, over seven million users of our different portfolio of products across the globe. It's mainly data. Of course, artificial intelligence also plays a key role in optimizing our internal operations. For example, in software development, services and support. However, today, I want to focus on the three main levers through which we are continuously enhancing and expanding our product portfolio with AI-driven functionality to capture this huge opportunity. Starting with our R&D and product development activities in-house. So Nemetschek Group has been working with and developing AI technologies for several years already. However, over the past year, we have clearly doubled down and significantly increased our investment in AI to further accelerate our pace of innovation. Our deep domain expertise and close customer relationship enable us to develop cutting-edge AI products and features. At the same time, it is equally important to us that all AI activities are grounded in ethical and trustworthy principles that place the human or customers or fans at the center. And we are here to help them to become an augmented architect, an augmented engineer and augmented program managers. As a result, we have already introduced several truly value-adding AI features across all our segments over the past quarters. In our Design segment, for example, we launched new features such as the AI visualizer and our groundbreaking agentic Nemetschek AI assistant, one of the first of its kind in our industry. And also across all other segments, we are making strong progress. For example, in the Build segment, recently announced Bluebeam Max, Unbound, where we had over 1,200 Bluebeam fans in Washington, D.C. and Bluebeam Max is combining the AI developments from Bluebeam with the innovative technology of our latest acquisition, Firmus AI. Integration of Firmus agentic AI-based platform into Bluebeam's PDF workflows enables early risk detection during preconstruction design reviews, increasing efficiency and helping to minimize costly work. In addition to our strong internal R&D capabilities, we are also accelerating our AI road map through targeted M&A and venture investments. The already mentioned Firmus AI acquisition, along with Manufacton are strong examples of how we are using technology-driven M&A to further strengthen our position in AI-driven innovation and to complement our portfolio with leading-edge capabilities. Our venture approach, we are also investing in highly innovative and potentially disruptive start-ups, for example, Handoff, Reconstruct, or Document Crunch and many more, as you know. These investments give us early access to emerging technologies and also help foster and broader innovation ecosystem around the Nemetschek Group. Our ambitious AI road map is further strengthened with strategic partnerships, both on the commercial and also the academic side. On the commercial side, for example, we are partnering with Google Cloud to further enhance Nemetschek's position as an AI-first industry leader and to create a strong platform for continued market expansion. On the academic side, we have already been collaborating for many years with the Georg Nemetschek Institute for Artificial Intelligence for the Built World at the Technical University of Munich, TUM. We are very pleased that we announced recently in addition, we have signed strong partnership with prestigious universities such as Stanford University in the U.S. and also with NTU in Singapore. All of these partnerships is to jointly advance R&D and innovation in the field of AI and to strengthen knowledge transfer between research and practice, thereby also helping to define international standards for our industry. You see a lot has already happened, and this is just the beginning. We will continue to use all available levers to position the Nemetschek Group to benefit maximally from this major opportunity. And with that, I will now hand it over to Louise.
Louise Ofverstrom: Thank you, and a warm welcome to our earnings call for the third quarter as well as for the first nine months of the financial year 2025 from my side as well. Yves has already briefly touched on some of our key financial figures. I would therefore now like to look in more detail at the most important financial aspects of our Q3 and nine months results as well as at the underlying drivers. As usual, we will begin with an overview of the key financial highlights of the first nine months of our financial year 2025 on Page #7. And I would really like to underline Yves's assessment that we had a very successful first three quarters of this year with continued strong and profitable growth. And this is especially encouraging and mentionable given our ongoing transition to a subscription and SaaS-centric business model in the Design segment and the associated short-term accounting burden on our financial results of this during the transition. So let me start with our accumulated revenue for the period from January to September, which grew by 22.9% on reported and even 25% on an FX-adjusted basis to EUR 866 million. And apart from the inorganic contribution from GoCanvas acquisition in the first half of the year, the recurring part of our business once again proved to be the main growth driver. And this clearly demonstrates the strong progress we are making in executing our strategic road map towards a subscription and SaaS-based business model. And consequently, the revenues in this category increased by an impressive 61.3% to EUR 614.7 million. And our reported EBITDA increased by 28.4% to EUR 264.3 million, and that is corresponding to a reported EBITDA margin of 30.5%. And please allow me to emphasize here that if we adjust for the extraordinary nonoperating effect due to the unexpected insolvency of a payment and service provider from the first half of the year, the underlying profitability would have been at a high 31.8%. On the right-hand side of this slide, you can also see our strong cash generation with a high cash generation up 111% as well as the continued very high quality of our balance sheet. If we turn to the next slide, Page #8, you'll find an overview of the development of our four segments in the first nine months of 2025. Let me start with our Design segment, which primarily serves architectural and engineering customers throughout the globe. In Q3, the segment continues its strong growth momentum from the first half of the year. This is driven by a very strong increase in the segment subscription and SaaS revenues due to the continued successful ramp-up of the subscription transition at our Graphisoft brand. And in addition to this, growth was also partly supported by three-year contracts, although at a slightly lower level compared to recent quarters. And these contracts are being used strategically and only temporary to accelerate the migration of existing maintenance customer to a subscription-based model, mainly at the Graphisoft brand. For the first nine months of the year, revenues accumulated to EUR 389.3 million, a plus of 13.1% year-on-year. And the reported EBITDA margin of 27.5% remained stable year-over-year despite the associated short-term accounting-related dampening effects of the subscription transition and the extraordinary nonoperating effect from the insolvency of the service and payment provider in the first quarter. When adjusting for the extraordinary service and payment provider effect only, the underlying EBITDA margin would have been above the prior year level despite the ongoing transition to subscription. So let's continue with the development of our Build segment, which once again delivered a stellar performance in the third quarter. This was driven by sustained strong customer demand, particularly at Bluebeam. And in addition to this, GoCanvas, which has now been fully consolidated into our Build segment since Q3 2024, continued to deliver as planned. And as expected, we saw slight moderation in growth, reflecting the fading temporary elevated effect after Bluebeam's successful subscription transition and the resulting higher comparison base. So after the first nine months of the year, reported growth stands at 47.2%. And adjusting for the quite strong FX headwind in the third quarter that stems from the weaker U.S. dollar, growth even reached 51.1% on a constant currency basis. The EBITDA margin on the reported level came in at a strong 35.7%. This is an increase of around 350 basis points year-on-year. And despite the dilutive effect of the GoCanvas acquisition as well as our continued investments to support the future growth of this highly dynamic segment, amongst other, as Yves said, the acquisition of the Firmus AI. Let's move on to our Manage segment, which recorded only a modest growth in the first half of the year. Now we saw a clear reacceleration of growth momentum in the third quarter with a plus of 7.3%. The growth in Q3 was driven by a positive momentum in new large customer orders and is clearly an effect of the measures taken to refocus and restrengthen this segment. Year-to-date, the cumulative growth now stands at 3%. And importantly, and despite continued investments into this segment's product portfolio and future growth opportunities, the margin expanded significantly to 10.5%, up from just 7.3% in the prior year. So, last but not least, our Media segment, which continued to be impacted by mixed market dynamics, particularly in the important U.S. market, including somewhat cautious customer spending in some areas. The segment is also still feeling the effects of the missing subscription sales in the first half of the year following the insolvency of a payment and service provider, as we alluded to earlier in this year as well. In total, revenue in the Media segment, therefore, increased only moderately by 1.3% to EUR 89.8 million during the first 9 months of the year. However, when adjusting for the special one-off effect of the service and payment provider, the revenue growth in the first nine months would have been in the mid- to higher single-digit percentage range. And thanks to very good cost control in addition, the margin in the third quarter remained at a very high level of 37% and in line with last year. However, due to the extraordinary nonoperating effect in the first half, the reported EBITDA margin after nine months remains below the prior year level at 31.1%. And without this extraordinary nonoperating effect in the first half, the EBITDA margin would have been at the prior year level. Let's turn to Slide 9 that comprehensively summarizes the financial results of one of our key strategic priorities, which is, of course, the transition to a subscription and SaaS-centric business model. Already alluded to the fact that our recurring revenues were once again the main growth driver in the first nine months of 2025. That is really confirming the good progress of the transition we see from a license-based model to a fully recurring, and therefore, subscription-based model. As you can see on the right-hand side, this exceptional development continued also in the third quarter with an ARR growth of 26.4% and a subscription and SaaS growth of 46.4% on a currency-adjusted basis. Therefore, and fully in line with our strategy, license revenues declined by 38% year-over-year in Q3, and that is reflecting the continued shift from perpetual licenses to subscription models. As expected, this more volatile and less predictable revenue stream now accounts only for approximately 5% of our group revenues. But looking at the longer-term picture at the left-hand slide of the slide here, you can clearly see the speed and the scale of our progress in building up our recurring revenue base. Over the last four years, we have seen an almost sevenfold increase in subscription and SaaS revenues, representing an impressive CAGR of over 60%. And as a result, the recurring revenues now represent 92% of total revenues. And this is a new record high for the Nemetschek Group after the first nine months of the year. To conclude our review of the results for the first nine months of 2025, we provide a more comprehensive overview as you are used to, of our key P&L and cash flow items on Page #10. And as we have already discussed during the H1 call, the effects from the GoCanvas acquisition and the insolvency of a payment and service provider were clearly visible in our reported results for the first half of this year, not only in our key KPIs such as revenue growth and the EBITDA margin, but also, of course, across the main OpEx categories. In the third quarter, there is no longer any bad debt impact from the service and payment provider insolvency. And the effect from the GoCanvas acquisition is now starting to normalize as we have fully consolidated the GoCanvas business for a year. And that is, of course, resulting in a more comparable base. As a result, we are now seeing a clear normalization across our main OpEx categories in Q3. Let me start with the largest component of our overall cost base, which is the personnel cost. We saw a reported year-on-year increase of 24% in this category in the first half of the year, and that was mainly driven by the GoCanvas addition and of course, smaller effects, as we alluded to also in the H1 call, such as reevaluation of stock appreciation rights, et cetera. And as announced already in our last earnings call, we began to see a normalization in the growth rate of personnel cost in the third quarter with an increase of only around 10%. So this underlying run rate despite our continued high top line growth reflects our healthy operational leverage and our consistent focus on operational excellence, even as we continue to invest strongly in strategic and organizational resources for our future strong growth. The nonoperating effect was also the main reason behind the strong increase in other operating expenses in the first half of the year, which is clearly well above a normal level of our business. And with the growth in the mid-teens only in Q3, the growth rate came down materially versus the first half. So without the aforementioned negative payment and service provider effect and on a more comparable base in terms of additional amortization charges related to the GoCanvas acquisition as well as reduced interest cost due to our very strong deleverage after the acquisition, our earnings per share grew clearly over proportionally in the third quarter by almost 41%. Our underlying free cash flow generation in the third quarter was again very strong and additionally supported by favorable tax cash flows resulting from changes in the U.S. tax regime that eliminated the mandatory capitalization of development expenses for tax purposes. So looking at the development over the last nine months of -- the first nine months of the year, the very strong increase of 44.5% in our free cash flow before M&A once again underlines the very high quality of our earnings. Finally, and thanks to our very strong operating performance, Nemetschek maintains a strong balance sheet with an equity ratio of 44.1% and a net debt-to-EBITDA ratio again below 1x. This gives us the flexibility to both continue to delever quickly, but also retain significant financial headroom for future M&A and continued investments in our business and into innovative start-ups, et cetera. And with that, I'll hand it back to you, Yves.
Yves Padrines: Thank you, Louise. To wrap up our presentation, let's turn to Page #12 and to take a look at our outlook for the financial year 2025. As a result of the very strong foundation we have laid over the last three quarters, we continue to be very confident to again achieve all our financial targets for the current financial year. We, therefore, fully confirm our financial outlook for the year 2025, which we already increased with our Q2 reporting in July. In particular, that means that from today's perspective, the Executive Board expects a currency-adjusted revenue growth for the Nemetschek Group in a range between plus 20% and plus 22% for the year 2025, including an M&A-related revenue contribution from the acquisition of GoCanvas of around 400 basis points. And we, therefore, also clearly are targeting the upper end of this range for 2025. The EBITDA margin, including the dilution effect from GoCanvas, is expected to be around 31% reflecting, among other things, the extraordinary nonoperating effect from the unexpected insolvency of a service and payment provider. Based on our very strong fundamentals, we expect to continue our very strong path with a very attractive strong growth at a high profitability this year as well. So even despite last year high comparison base and the ongoing subscription and SaaS transition of our business model. And in the coming years, we are very confident to continue to deliver a very attractive average organic revenue growth in the mid-teens. And with that said, I would like to thank you for your attention, and we are now ready to take your questions. So operator, please, back to you.
Operator: We'll now begin the question-and-answer session. [Operator Instructions] The first question comes from Nicolas David from ODDO BHF.
Nicolas David: I have two. The first one is relating to the Media segment. Just trying to understand better the Q3 performance. Was it still impacted by the insolvency of your supplier which is behind us and now it's just a tough underlying market environment, which is affecting the business? And what do you see for Q4? And do you have an action plan to revise the growth of this segment? And maybe more broadly, could you consider a strategic review for this asset, including maybe a disposal as it's not really 100% core business for you? And my second question is regarding the U.S. construction sector, construction market. As we see a deterioration of some leading indicators there, should we expect that it can affect your business, the Design segment in the U.S. in the coming quarters? Or are you still very confident?
Yves Padrines: Thank you, Nicolas. So, first of all, regarding media, clearly, yes, Q3, we had a tough of a recovery in the second half. But the growth, as I said, without the insolvency of the payment service provider would have been year-to-date more in the higher single digits. Clearly, what we see in the market that there is an ongoing mixed market dynamic in Q3 and also the last quarters, including cautious customer spending. But what is very interesting is that the revenue that we are doing or business, which is direct with larger customers or also with channel partners, we are in a strong double-digit growth with this type of customers. We are even close to mid-teens potentially in some areas, especially outside the U.S. And where we have more issues is clearly with our tailwind of customer, which are coming from the web store. So the revenue in Q3 is still impacted also by the missing subscription sales in the first two quarters of the year. And this will continue at least until the beginning of next year. So, with Maxon, so for media in Q4, we expect a slight recovery next quarter or this quarter. And clearly, we see more low double-digit growth next year. But we should come back to double-digit or around low double-digit growth for media next year. And we are not planning any disposal for the moment of this business. Then your second question regarding the U.S. construction market. Well, clearly, we do not see any slowness there in the market. In fact, it is still very, very strong when you look at Q3, especially with our U.S. brands such as GoCanvas and Bluebeam, but also others. And so far in October, we do not see any deceleration for these businesses in the U.S., and there are still very good and strong growth.
Nicolas David: All right. That's very clear. And just on the Media segment, no action plan, specifically, you just believe that you are going to recover with the market? Or do you want to put more focus on those large customers and distributors to mitigate the weaker part of the market?
Yves Padrines: So we are clearly working more internationally, and we have very, very strong growth, for example, in Asia Pacific, including in India, of course, coming from a lower base. And here, we are working mainly with distributors and channel partners internationally for Maxon. When I say internationally, so more in high-growth region, especially in Asia. We have still a very strong business with large customers, but also these larger customers are cautious, but we have a strong double-digit growth with them, as I said. What we have done also is that we have turned our dynamic in terms of digital lead generation. We are adding more resources and more expertise in our online marketing power, et cetera. But clearly, we see that overall in the media market, the customers are very cautious, and they are very cautious, especially on spendings overall.
Louise Ofverstrom: I think maybe just in addition, of course, we also continuously also in the Media segment, as you have seen, we have very strong products here in this segment. And of course, we are continuing to enhance our product offerings as well to the market and expanding that as well. So I think that's also what you will also see is, of course, remain very attractive to the users in the market. And that will, of course, also as part of, of course, capturing that growth. And that's also one of the reasons why Maxon is also our Media segment is growing in general also with this extraordinary effect at a higher pace than the underlying market.
Yves Padrines: And we launched, for example, some new AI features with, for example, Cinema 4D with AI search, but we are also now planning to launch in the coming weeks a new AI [indiscernible] generation. We are also planning in the coming months to launch further AI compositing capabilities, especially on scene lighting and relighting, et cetera, et cetera. So have more and more AI features coming up. On our current product line, we're also planning to launch a new iPad version for Cinema 4D. As you know, we launched an iPad version of ZBrush over a year ago. That was in September 2024, which has been a great success. We even have more -- even now more ZBrush iPad users than desktop iPad users, so very successful. And in addition to all of that, as we mentioned already, we are going to do a commercial launch of a new rendering solution for architects based on Redshift Maxon solution, which is first deployed with Vectorworks. So that will be more towards end of Q1, early Q2 2026 when we launch it commercially. And then we are planning to have this new [indiscernible] rendering solution for architects also deployed with other ordering tools and BIM solutions, first of all, from, of course, the Nemetschek Group, such as Archicad, from Graphisoft and Allplan. We are also planning to have that deployed with Revit and Autodesk and other ordering solutions and CAD solution from third party.
Operator: The next question comes from Alice Jennings from Barclays.
Alice Jennings: I've just got a couple, if that's okay. So, just firstly, you spoke about the mid-teens growth profile in the medium term. But if we think about the multiyear deals that have been signed this year, kind of how does that leave us for next year? So how should we think about growth in 2026? How are you kind of going to manage these multiyear deals next year? And then what are the other things that we should think about there? And then my second question is just on AI. I'm just wondering about the monetization of that. How does that work? Or does it really kind of depend on the specific products that you're offering? Like is adoption voluntary? Or is it included automatically in a subscription? And then what kind of impact will that have on pricing?
Yves Padrines: Sure. Thank you, Alice. So, first of all, regarding our outlook, and of course, we are not yet giving a guidance for 2026 and beyond. But clearly, what we are saying is that we are very convinced and that we are going to have an average revenue growth in the mid-teens in the coming years. So how we are going to manage that next year, for example, is your question. So, clearly, yes, we are going to continue to have high growth in the Build segment in 20-plus percentage points here for the Build segment. Clearly, in Design, we are expecting to be in the higher -- high single-digits growth. And then we are expecting Media to be now back to around the 10% or to the low double-digit growth and clearly having operate and manage back to double-digit growth in 2025. So we are very confident that we can, therefore, reach this mid-teens growth in 2026 despite the fact that, yes, but that has, again, a very, very, very small impact that we are still going to do a little bit with Graphisoft, for example, some of these multiyear deals to support the migration from our existing customers on maintenance to push them to subscription model, but it has a very small impact, and it's not going to impact the growth for next year versus this year. So we're going to continue to do that temporarily based on specific actions, and we are going to continue to do that while we are migrating the Design segment to subscription, especially at Graphisoft and Allplan, and this will continue at least for the next probably around two years more or less. But clearly, we are highly confident in this mid-teens average growth for the coming few years and definitely also for 2026.
Louise Ofverstrom: And I think just to add to what you said also on the Design transition, which is the last part of the business that we are transitioning to subscription, we will be at the year-end already over 50% of the Design business also already on subscription. So we're also there -- we have a very good amount that is already done. And of course, the blend would Build and the other segments that are already on subscription, of course, getting -- I could say getting stronger. So the piece of that is also getting smaller and the traction is very good, as you can see as well.
Yves Padrines: Yes. Then Alice, regarding your second question related to AI and the monetization around it. So, first of all, AI, well, it's fully part of our road map. So it's really depending which features we are talking about and which brands. So, to the extreme, you have products like in energy management, where AI is part of the core product. So it's de facto there. So when you buy Spacewell Energy, for example. Then if you look at other AI features, especially in our Design brands, they are de facto part of the basic subscription package because we want to force adoption, and we also want to make sure that we have some return on the return on investment and the productivity gain that it has, and therefore, we need volumes and we need a lot of data, and we need to make sure that everybody who is on subscription has the capability of having these features. But then, of course, we have then additional other type of AI features, which we are then targeting to have only in higher packages. So therefore, we will use that to increase our average revenue per user. And then as you may have heard and as I said earlier in this call, we announced the launch of Bluebeam Max, which is going to be available commercially sometime in Q1 2026. And Bluebeam Max is a purely new package for Bluebeam, purely AI-driven with new features coming from in-house development that we had at Bluebeam, plus also some features which will be integrated and embedded in Bluebeam Max coming from the acquisition of Firmus AI. And that will be an additional fee per month or per year that Bluebeam user will have to pay to get Bluebeam Max. Then in addition to that, so that's still a per user type of pricing. As we are moving more to agentic AI solution with our Nemetschek AI Assistant and the road map, you can see that over time, we are going to shift more and more also with the business outcome type of pricing and to really monetize more the agentic piece of our AI as they are going to help a lot on the productivity gain over time and not being necessarily purely user-driven. But for the moment, short term, our AI features and AI monetization is very much user-based and more midterm, you will see a shift to business outcome type of pricing model for the Agentic piece in particular.
Operator: The next question comes from Deepshikha Agarwal from Goldman Sachs.
Deepshikha Agarwal: I just -- first of all, I just wanted to delve a bit deeper on the multiyear deal dynamic. So, basically, like it is indicated that Design is going to be high single digit next year. Can you just like tell -- throw some light on what exactly are the puts and takes there as in how much is the underlying growth? And then how much is subscription transition and how much would be the multiyear deal like adding to it next year? And what does that mean for this segment in terms of when we look at it on a normalized level, like once the transition is almost behind in this segment? Second is basically like the cost dynamics. Clearly, like it seems, as indicated, margins were a bit better than what like Street was expecting. So how do you think about like -- especially with like growth improving over the next year, how should we think about investment versus operating leverage for the business for next year and over the medium term?
Yves Padrines: Sure. So, as I said, these multiyear contracts are still going on. And we are using the three-year contract to bring existing customers from maintenance to subscription, and it's mainly driven in Graphisoft and partly also at Allplan. The growth without this three years contract in Q3 would be for the Design segment in H1, it was a tailwind of 4%. And in Q3, it's slightly lower. It's around 3% tailwind for Q3 2025. And the impact at the group level is a tailwind of roughly slightly below 2% year-to-date. So, I mean, yes, it is slightly below 2% year-to-date, but it's only slightly 2% year-to-date, where we are expecting to reach the upper range of our new guidance, which is a 22% revenue growth FX adjusted for 2025. So, clearly, when you look at Q4, we expect the Design segment to be in the mid- to higher single-digit growth. And this is really depending also on the renewal business that we have at the end of the quarter. And please remember that we have also this higher comparison in mind from Q4 2024. And we are expected also to have growth that are including some last time sales of perpetual license in Q4 of 2025. Now if you look at 2026, here, clearly, we are still expecting a growth, which is around at least in around higher single digits or probably also in the low double digits after the subscription and three-year contracts over time. So over time, this should be a business design when we move and when we finish to the move to subscription, it should be a low double-digit business growth when we are more normalized in general.
Louise Ofverstrom: Then I'll take your second question on the margins overall, if I understood it. And that's what you say. So, yes, we a very strong margin contribution to our business, and we should not forget that this is during a time when we are going through the subscription transition. I think that's always also important to bear in mind. I think that's rather unusual. That's also how we build the whole transition to the subscription model in our group as well that we take it by a stage approach and make sure also to grasp that. But it's not only that. It's also that we are working very, very strongly with our operational excellence and also shifting to say, our investments into the priorities that really have a high return on investment, and that's what you can see here coming through as well. So, but going forward, so, yes, we see a strong growth scenario to continue as well. So we will continue also to see the leverage. And you have heard us say that before, and that is we will not optimize our revenue growth at the expense or optimize, let's say, our margin at the expense of our revenue growth, right? So we clearly see that there is such a strong revenue growth still to be had in the market, so much opportunities, and that's really where the value creation is coming from. And that's why you will see very, very attractive margins still going forward, and you will see increased leverage. But we will not optimize the margin at the expense of our revenue growth. So whilst you should also -- I said, we haven't guided for 2026 yet. But yes, with increasing growth, you should also see a part of that and of course, combined with our operational excellence that you see a higher leverage, so say, a slightly increasing margin. But that is net of the investments. And as I said before, we are investing strongly into our business into that future growth because we don't see that this continued strong growth will end anytime soon, right? So that's why we are really investing into the business in all our areas and especially as well in the very, very strong growth momentum that we also have into our Build segment. So that's why. To make a long story short, yes, you should expect net of investments due to also our strong operational excellence, you should expect a little bit of higher operational leverage there, but you should also not expect us to now just go for margin optimization because that would maybe put more focus on the margin and on the revenue growth, and that's something that we should not do.
Operator: The next question comes from Balajee Tirupati from Citi.
Balajee Tirupati: Two from my side, if I may. One question -- the first one on the U.S. Your key peer has sounded quite positive about the momentum from the data center and reshoring of manufacturing into U.S. Could you remind us your exposure here? And how do you see demand evolving? And then second question on the growth in home German market, where the quarter seems to have witnessed one of the strongest growth in years. Could you share how sustainable this return to double-digit growth in Germany is?
Yves Padrines: Just -- I'm not sure I understood properly because the sound was not great, but let me try to answer. So, first of all, our exposure to data center building in U.S., I mean, yes, it's great. I mean it's not only in U.S., by the way, the data center exposure. We see great momentum on data center across the globe, everywhere in the world. And we have different solutions around that. Clearly, a strong dynamic for dRofus, strong dynamic also for Bluebeam, GoCanvas. Strong dynamic also for Design brands, if you look at ArchiCAD, of course, if you see at Solibri. So, clearly here, very positive and strong dynamic for quite some time, and it will continue, as you know. That's not going to stop in the short or even midterm. Clearly, it's a long, long growth trajectory. Then if you look at Germany, I mean, clearly, the debt package in Germany is not yet meaningful. It's too early to say what will exactly be the effect on the demand in Germany, especially in infrastructure. The mood and the sentiment has improved, but we believe that we will not see really any impact even next year. It might be more towards the end of next year potentially, but probably more in 2027. So, internationalization, clearly for us is a key element. And we are continuing to focus a lot also of region outside of Europe, where, of course, Europe is still a very important key market for us. And if you look at the strong development that we had in Germany and Europe this quarter, in particular, it was mainly driven by also the Build segment, where Bluebeam had very, very strong traction, but of course, by our design segment, which has recovered, especially with the strong momentum on the subscription move and the transition from existing customers to subscription.
Louise Ofverstrom: Yes. And I would maybe just add a little bit to that. So the third quarter also as Germany was in focus a little of our subscription or SaaS to subscription move in the third quarter. So you might see a slighter effect in those Q3 numbers driven by that. But as Yves also said, that's also in general because you know that we have now for quite some time, also expanded our Build segment into Europe as well, especially the -- some special markets, including Germany, and we see good traction there as well. So, and if you look at how sustainable that is, as Yves said, it's also, in general, over time, also the effects of the infrastructure and investment packages also come into the German market, right? So it's definitely say, going in that direction, but you also have some slight effects in the Q3. That was also due to the push that we are having on that market right now for the subscription transition.
Operator: The next question comes from Joe George from JPMorgan.
Joseph George: I've got two, please, both of which just on the Build division. So, firstly, when you acquired GoCanvas, I think you indicated that you took a haircut on some of the acquired deferred revenues. And I believe Q3 is the first quarter that this has unwound. So can you talk around how much of a tailwind in millions of euros this was to Build revenues through Q3? And I guess, going forward, how should this effect evolve? Will it be flat next quarter? Will this increase, reduce, et cetera, over time? Just any color would be great. And then secondly, I just wanted to follow up on the expectation for 20% plus Build growth in FY '26. The last couple of quarters, you've added about EUR 5 million of revenue sequentially versus the prior quarter in Build. And I guess if we extrapolate that trend out through Q4 and throughout FY '26, that would imply a year-over-year growth rate closer to mid- to high teens. So, I guess, I'm asking, are you expecting an acceleration within the Build revenue growth algorithm anywhere through FY '26, maybe on pricing, new logos, net customer retention, et cetera? Just any color on the building blocks here of that 20% plus would be great.
Louise Ofverstrom: Okay. So let me start with the question that you had on the GoCanvas haircut that you're correct on. I'm not sure that I heard because the tone was a little bit bad. So let me -- if I missed something on that question, please ask again. So I understood that your question was that we had a haircut on GoCanvas and how much tailwind did we have in Q3. So the majority on that haircut comes into Q1. That's why it was a very, very small effect in Q3. It was less than EUR 1 million in our total revenues. So nothing more or less. No effect, no tailwind due to that. And I'm not sure, as I said, did you have an additional question to that, the tone broke a bit there? Or was it?
Joseph George: Yes, that's perfect.
Louise Ofverstrom: Okay. So, and then let's go to the 20% Build growth, which is which is built on, of course, the very strong growth that we see both in the U.S. in the user growth, but also, of course, internationally in the Build segment, right? So we see -- I think, in general, the -- whilst we now have effect from the subscription transition of Bluebeam where you have seen very elevated growth levers, if you may, because of the comparatives, et cetera, comparables that are done with Q4 this year, you still see, say, the underlying very strong growth in the Build segment, of course, very strongly driven by Bluebeam. But also, of course -- expansion of GoCanvas as well. That was also part of the acquisition case. And of course, also that's the smaller part also the Nevaris brand that is also continuing to grow, right? That has also been going through subscription this year and will continue into the next one. So that's why that's really the building blocks are really user -- strong user growth, both in the U.S. and internationally in all parts of the Build business.
Yves Padrines: And internationally, we see a strong momentum also in Q3, again, in Europe, very successful growth for Bluebeam, in particular, in Europe. Also GoCanvas is having more and more traction, especially in U.K. now. And of course, now for next year, we are also looking at other regions in addition to Europe, especially in Asia and Middle East for the Build segment, especially Bluebeam.
Louise Ofverstrom: We really see that in all channels, right? So we see that in the channel and web, et cetera. So we see all the channels showing that growth.
Yves Padrines: And of course, we've made also the acquisition of Firmus AI. We have Bluebeam Max, and we have all the AI tailwind will come hopefully also next year, but that would be probably even more on upside.
Joseph George: Yes. All right. Can I just follow up on that, please? Just on pricing within Build. I think it's been a couple of years now where we've seen material pricing used to support growth through FY '26. Should we expect more pricing growth within Build and if so...?
Yves Padrines: There is absolutely no pricing on Bluebeam. So I don't know where we had zero price increase on Bluebeam in 2025.
Louise Ofverstrom: Except for the legacy, so say, the ones that we took from a very low level that we took back to the subscription pricing. But that's not, say, for the -- that's...
Joseph George: Through 2026, should we expect any change to that, i.e., will you use pricing in '26 or same as '25, where it's flat basically?
Yves Padrines: I mean the pricing will be more not the fact that we are going to have a big price increase, but we are going to have this new package like Bluebeam Max, which is going to be de facto an average increase of average revenue per user. I mean, over time. Of course, that might not be materialized very quickly in '26 as we are only launching that by the end of Q1, Bluebeam Max, but de facto, as we are going to selling a new package, I mean, it's not a price increase, but it's like an additional pricing for people to have access to these new features. And remember, I mean, the Bluebeam average price, if you take all our paid users today, it's equivalent to not even the price of a coffee per day. So, clearly, if we are able now to sell extra package with Bluebeam Max, this could have a significant impact over time, probably not necessarily next year. this could be a very strong tailwind for the growth of the Build segment.
Louise Ofverstrom: Yes. And I think also just to add on that, what you said due to where we are with pricing, we haven't played this card, and we see that there's such an interesting new user growth to expand this incredibly strong mesh and network that we have built with Bluebeam, which really makes this unique, very unique in all segments. So if your question is if we believe that we would have pricing power, yes, definitely. I think we will have pricing power, but we will continue in the banner as well to add features and add even more functionality to this part of the industry that is in high need of even more functionality. So that's why I think that's how we look at it while we are still seeing that the growth is really coming from the new users and new features future side.
Operator: The next question comes from Victor Cheng, Bank of America.
Hin Fung Cheng: Just going back to Bluebeam again, there are a couple of growth drivers currently. And just thinking going forward, can you help us break down kind of what is the mix of growth drivers? Is 1/3 from the user growth in U.S. and versus expansion into other regions versus the maintenance pricing catching up to subscription with the transition? How should we think about the drivers of growth and obviously, Bluebeam Max as well going forward? And then second question on M&E. I guess we've talked about this before, but any kind of color on the industry maybe adopting AI and kind of the use case for it. I think the other talks about Hollywood using it for drafting, using Gen AI for drafting. Do you see that happening? How should we think about demand there going forward?
Yves Padrines: Yes. So, clearly, if you look at media M&E, the impact on AI, I mean, we have AI embedded features in our product portfolio, as I said. So we shipped AI search, for example, and other AI features on Cinema 4D. We have this AI depth generation, which is coming up in the next few weeks and also some new further AI compositing capabilities. So clearly, we see that all customers who are artists here are really welcoming this type of features, which is helping them to be more productive and to automate more tasks and to be also quicker. Overall, I would say that the fact that market has mixed demand, it's not linked to AI. I'm not saying that there might be in the future some AI impact. But clearly, for the moment, it's not coming from that. It's mainly coming from the fact that the customers, the media companies are spending less. They are very cautious on their spendings. Some of them are not in a very good economical situation, as you know. And therefore, the impact is mainly on this long range of freelancers and artists who are more impacted because there is probably also less job for them. And this is a kind of a long tail of customers that we have, especially with our web store because, as I said, when we look at our direct touch customers, so the bigger type of customer, larger media companies or game developers or if we look at our reseller business, it is growing very strongly, double-digit plus.
Louise Ofverstrom: Yes. And maybe on the Bluebeam growth again. So the growth driver is clearly now in this year is really the new user growth. So the impact of price, including that maintenance price, let's say, is marginal in our growth in Bluebeam. So -- and that's also how we see it to continue. And why you see that, that's also, I think, something -- although we have such a huge base in the U.S. for Bluebeam, you could think that, that growth at some time should go down a little bit in relative growth, but it's still very, very strong. At some point of time, of course, the absolute basis, it will start to -- in absolute figures, it will continue to grow, but we will have less relative growth. But it's still very, very strong. But what we really see now that APAC and Europe is really catching up at a very strong range. So that's why they are growing so much stronger, of course, from a smaller base. The 2025 numbers in the U.S. growth in Bluebeam is, of course, also including GoCanvas. So -- but if you see that, I would say that, yes, APAC and EMEA is growing very, very strongly at equal strong rates as the U.S. and even ticking up now stronger. So you -- will your question comes to where does the growth come from as the base is still so much larger in the U.S. that still has a significant portion still in both '25 and '26 for Bluebeam, but the international growth in both EMEA and APAC is adding to that, and that's why it's coming to a very attractive growth, but price remains a marginal piece or the smaller piece of the growth.
Yves Padrines: Yes. And again, just to add on the U.S. with a very, very large customers that we have there for Bluebeam, all large construction companies in the U.S. are Bluebeam customers. But as an average, they are not even 40% penetrated. And the main reason was that we didn't have so much direct touch with this customer, no key account management. And now the last couple of quarters or three quarters that we are engaging much more with them, we are signing enterprise license agreement and definitely increasing our penetration with these accounts, but there is still a lot of work to do there because this is something we can do across all the large customers in the U.S., which, of course, is not representing the majority of the revenue of Bluebeam, but it's still a significant size. And then you have this long tail of small, medium general contractors or subcontractors, et cetera, where clearly some of them are not using Bluebeam yet and a lot of them are not using Bluebeam. So, interestingly, the potential growth in the U.S. is still there for some time. And then as said, internationally, huge, huge opportunity of growth for Bluebeam.
Louise Ofverstrom: Yes. And in the U.S., you can really see that Bluebeam is the industry standard. And that's why you have this, as I said, the measure, the network effect that we see continue at a very, very high pace. So, to say, as is the industry standard, more and more of the subconstructors and the smaller players need to have a Bluebeam license in order to work with the rest of the network, right? And we really see that in all areas. And that's, of course, also contributing very, very nicely to our growth also in the U.S., that's something a pattern that there's no reason why that will not continue then internationally.
Yves Padrines: And this network effect, the consequence is that now Bluebeam is even becoming more and more a in the U.S. construction market, especially when we're talking about collaboration tools.
Operator: The next question comes from Nay Soe Naing from Berenberg.
Nay Soe Naing: Apologies if there is a bit of background noise, I'm traveling at the moment. Hopefully, two quick questions for me and maybe one -- the first one for you, Louise. On the multiyear contracts, I just want to understand how much longer will these contracts be available for customers to purchase? And also just to confirm, there are no favorable commercial terms on these contracts, i.e., that you do not offer a discount for customers to choose these multiyear agreements? And the second question is on the -- maybe one for Yves. I think you had packaged GoCanvas product into Bluebeam as of last quarter or maybe the quarter before that. So I was wondering if you could give an update on the upsell, cross-sell opportunities between the two products? And how much of the revenue synergy opportunities you have expected in your mid-teens medium-term growth outlook, please?
Yves Padrines: So maybe just quickly on the multiyear contract, as I said, we are planning to use that only for Graphisoft and slightly for Allplan, but only during the transition to subscription for these two brands, which will be probably for the next 2, 2.5 years around that. And clearly, there is no favorable terms, clearly not. I mean -- and there is no discount. And that's why you have a big part of the existing maintenance customer who are only moving to a 12-month contract because there is no advantage to move to multiyear in terms of pure pricing. The only advantage is to have more visibility of what could be the pricing for the next three years because the price increase is very small from one year to another year. It's only linked to some small indexation in some cases. And so it could give the confidence a little bit to customers that, okay, we are not going to increase suddenly the price significantly after one year. So that we're not going to do a plus 25% or plus 30% price increase suddenly from one year to another. But yes, so there is no favorable or discount linked to this type of multiyear deals.
Louise Ofverstrom: It's really -- it's more of that type of customer that goes for this contract. So that's more maybe the customer who have just bought a license who is a bit more conservative as well in the way they look at that. So it's not to get -- that's also not a negotiation to get more favorable conditions. It's really to say, for them to start to think in a new subscription model, right? So -- and you also know that many of these customers, they also sit in Europe, right? So -- and the European market, especially in some areas of the European market has been more conservative into moving into subscription. And that's why it's a bigger change for them than it was, for example, in the U.S. or whatever. And that's why it's a little more this conservatism so that they can start to believe in the subscription model, and that helps them to have that clarity on what will happen in the next three years. And that's why it's not even a negotiation about favorable conditions.
Yves Padrines: Yes. And then on Bluebeam and GoCanvas and the synergies, so clearly, as said, we see very strong synergy on the go-to-market, especially linked to indirect channels. So, as you know, Bluebeam is working with large resellers and GoCanvas had only a direct go-to-market business. And so we have now more and more large Bluebeam resellers who committed to sell GoCanvas, and it's working very well. First of all, in the U.S. But now also this is going to help GoCanvas internationalization with some of these very large resellers who have -- some of them have a real global presence, such as ARKANCE, for example, but also others. Then also, if you look at the synergies, there are some cost synergies that we are still working on also too. I mean, we already had some in 2025, but more to come in 2026, where we are integrating even more and more both company, Bluebeam and GoCanvas on different functions.
Louise Ofverstrom: So I would really -- I think also to say how much of those synergies that have come what we have planned. I think we are very happy with that. We can clearly see that the trajectory is coming and that we are also -- that we can see even slightly more than we would have thought. So it's definitely confirming the case.
Operator: The next question comes from Michael Briest from UBS.
Michael Briest: Just coming back on Bluebeam, I think there are currently three SKUs between basics, core and complete. Will Bluebeam Max replace complete or be a further additional one? And can you give a sense of how much higher than the $440 per user per year it might come at? And then more broadly, looking at the Bluebeam user base today, how do they break down between those SKUs? And have you got a program to try and move them up the ladder, if you like? And separately, just on headcount, it was flat quarter-on-quarter. And given all the comments about investments, that seems a bit odd. Can you maybe talk about what happened in Q3 and plans for the rest of the year?
Yves Padrines: So, first on Bluebeam, yes, we have currently three packages. And we still have around -- a majority of the people are moving to more the core and the complete packages. So these are clearly the two packages which have the most traction. So, one, as you may know, core is around USD 330. Complete is at USD 440. And then you have the basic package, which is at USD 260. So -- but when we look at the new users and the new logos, they are really going more to core and Complete more than basics. Bluebeam Max will be an additional package. So it's not going to be included in complete. Bluebeam Max is completely new. It will be priced completely differently, and it will be an add-on to what you have. So we have not yet disclosed any pricing yet. It's still under work internally, and we will do that in Q1 of 2026.
Louise Ofverstrom: Yes. So, let me take the question on the headcount. So you say, yes, you're correct with the flat development of the headcount. I think you need to look at this holistically. So whilst we are also investing into new human resources, we're also investing a lot into systems and structures, digital demand generation, et cetera, et cetera. We, of course, also get more efficient internally by internal use cases, by AI, but not only by AI, by harmonization and alignment of our global process is something that we have been working with now quite some time is also to streamline through between all the brands, et cetera, our operational excellence, et cetera. And with that, we also repurpose a lot of our headcount. So there, we have savings because we had -- if you look at the Nemetschek Group, how we were run in the past, we would have less systems and automization and more heads due to the structure that we had. Now as we have been combining a lot of that, investing into systems and structures, we can repurpose some of that what you could say maybe would have been excess headcount in a different model, we can repurpose that into our growth. And that's why we really also have a very nice leverage in our numbers as well. So it's not that we are not investing into new headcount. We definitely are, but the investments are also in all other areas of structures, tools and demand generation, et cetera, it's not only people and the people they are more repurposed into new areas, et cetera, where we can have savings in one area because we have automization and also AI support, we repurposed that kind of headcount into where we really need more talent. You should not expect...
Michael Briest: Specifically on GoCanvas, did it grow faster or slower than Bluebeam this quarter? I mean the deferred income benefit would have helped, but I'm just curious.
Louise Ofverstrom: No. Bluebeam is growing stronger than GoCanvas, yes.
Operator: The next question comes from Richard Nguyen from Bernstein.
Richard Nguyen: I have a quick follow-up on the Gen AI strategy, please. I know that it is still very early days, but have you seen any kind of pull-through effect with the Gen AI availability? Does that incentivize the customer to move faster to the subscription package? Or is this not yet the case?
Yves Padrines: So I'm not sure I understood properly your question, but our AI features, as I said, are depending on which one, some of them, they are included in our basic package subscription. Some others will be or are in higher tier type of packages. And some other, they are stand-alone price or will be stand-alone price like Bluebeam Max AI -- purely AI packages.
Richard Nguyen: But I was asking about how the customer perception about the availability of those solutions. Are they more incentivized today to acquire the products, et cetera, because of that? Or it's not yet the case?
Yves Padrines: Now clearly, there is more and more adoption of AI features overall in the market. I mean if we compare 2024 to 2025, there's been clearly a nice uptake. We just did a survey, for example, recently, and AI is most commonly applied in design, so around 48% and in planning around 42%, and we see that over 70% of the companies which are using AI allocate up to 25% of their budget more in this type of capabilities. But clearly, it's still very, very, very early stage. So AI-driven collaboration and cross-platform integration is clearly one of the key topic. We are doing a lot of new AI features, which are facilitating real-time cloud-based collaboration. That's clearly the fact with Bluebeam and enabling also integrated workflows with other potential third-party platforms. And construction professionals, Bluebeam AI capability is promising to continue to transform the industry, but also enabling smarter decision-making and greater project success in general. So, yes, we see an uptake in the usage and adoption. And of course, these users, they need to see a clear AOI and they use this type of AI features. If not, they are not going to move to a higher package or even pay extra a new AI purely package such as Bluebeam Max. In general, there is clearly more and more usage. And if you look at architects, for example, what they really like it are really solutions around generative design and Gen AI, which are helping them to automize more the work, and therefore, be more productive and to replace and automate all these repetitive task, for example, that they have to do a lot.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Stefanie Zimmermann for any closing remarks.
Stefanie Zimmermann: Thank you, operator, and thanks, everyone, for attending. We are looking forward to catching up with you soon. If you have any follow-up questions, so please do not hesitate to contact Patrick or myself. And let's conclude the call for today. So thanks again for joining.